Operator: Greetings, and welcome to ADT Inc’s Fourth Quarter and Full-Year 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I would now like to turn the conference over to your host, Jason Smith, Senior Vice President of Finance and Investor Relations. Thank you, sir. You may begin.
Jason Smith: Thank you. Good evening, everyone, and thank you for joining us for ADT’s fourth quarter 2018 earnings conference call. This afternoon, we issued a press release and slide presentation on our quarterly results, both are available on our website at investor.adt.com. Our remarks today will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks that could cause actual results to differ materially from those expressed or implied by such forward-looking statements. These risks include, among others, matters that we’ve described in our press release issued this afternoon and our filings with the SEC. Please note that all forward-looking statements speak only as of the date of this call and we disclaim any obligation to update these forward-looking statements. During today’s call, we’ll make reference to non-GAAP financial measures. Our historical and forward-looking non-GAAP financial measures exclude special items, which are difficult to predict and mainly dependent upon future uncertainties. For a complete reconciliation of historical non-GAAP to GAAP financial measures, please refer to our press release issued this afternoon and our slide presentation, both of which are on our website at investor.adt.com. Joining me on today’s call are our President and CEO, Jim DeVries; our CFO, Jeff Likosar. Also, joining us and available for Q&A is Don Young, our CIO and EVP of Field Operations. I’ll now turn the call over to Jim.
Jim DeVries: Thank you, Jason, and thank you, everyone, for joining us today. This evening, we’ll share our fourth quarter and full-year results, our strategy for driving strong and balanced growth across our increasingly diverse end markets and our favorable outlook for 2019. We’re pleased to share that during our first year as a public company, we exceeded our initial 2018 financial outlook, while raising guidance during the year. A large part of our strong financial performance stemmed from improved operating efficiency, which we accomplished through better customer service, stronger retention, improved capital efficiency and ultimately, better revenue payback. Additionally, we strengthened our core residential business as evidenced by growth in RMR additions and adoption rate for ADT Pulse that continues to climb and improvement in our trailing 12-month gross customer revenue attrition from 13.7% last year to 13.3% as of this most recent quarter. Another 2018 achievement was our commercial expansion, returning ADT to our deep roots in this business. We demonstrated strong organic revenue growth and supplemented this with complementary growth platforms and acquisitions that brought us talent and capabilities to ADT. Red Hawk, in particular, immediately brought us an enhanced product portfolio, including fire products and services, a broader geographic reach, deep customer service capabilities nationwide and a proven leadership team. Turning to our strong fourth quarter results. We once again generated growth over our key financial measures, including revenue, adjusted EBITDA and free cash flow. We grew total revenue 7%, driven by strong installation revenues that were up more than 50%, along with continued penetration with ADT Pulse, further improvement in customer retention and the December acquisition of Red Hawk. We grew adjusted EBITDA 3% to $614 million and our free cash flow before special items was more than double compared to the prior year’s fourth quarter. Obviously, improving operating metrics helps drive our financial performance, and I’m pleased to share we made further operational progress once again this quarter. To begin with, our gross customer revenue attrition on a trailing 12-month basis was 13.3%, as I mentioned earlier, reflecting a 40 basis point improvement over the same quarter last year. Our focus remains on serving our customers in a high-quality way and our team did a great job maintaining this focus during the course of the entire year. Another key driver for us is our customer revenue payback, which we look to continually improve through higher installation revenues and margins, greater efficiency in selling and installation and the optimization of net subscriber acquisition and installation costs, or SAC. During the fourth quarter, on a trailing 12-month basis, our payback was 2.4 years, consistent with the third quarter of 2018, and an improvement over the 2.5 years in the prior year period. Finally, regarding operating metrics, our focus on efficiently adding and retaining high-quality RMR has led to an improvement in our unit metrics. Following a successful shift nearly three years ago toward higher-quality customer acquisition, we have continued to narrow the decline in our unit additions, with our core U.S. residential customers having a positive trajectory as you can see on the bottom right of Slide 4 in the deck that accompanied our release. Now, I’d like to share a few comments on our future and discuss our evolving strategy for the company. Over the last three years, we’ve made tremendous progress improving our business with a focus intentionally on operational execution. This operating focus has led to improved customer service levels, as well as more disciplined growth and capital allocation. The tangible results include outcomes, such as gross revenue attrition improvement of more than 300 basis points, compared to legacy ADT’s 2016 attrition; revenue payback of 2.4 years versus 2.7 three years ago; and importantly, substantial improvements to free cash flow generation. We will remain focused on continuing our momentum on these and other measurable improvements we’ve made over the past few years. And additionally, our key 2019 priority is to strengthen our position to pursue new and additional growth opportunities in the years to come. We will continue to balance our core objectives of attrition, customer acquisition cost efficiency, profitability and cash flow, along with growth. As we begin the New Year and after a few months in the role as CEO, I want to offer some perspective on our key strategic tenets and priorities for 2019 and beyond. The first of four tenets that I’d like to share is actually underscoring what we will not change. Our core operating philosophy of disciplined growth, operational focus, a high accountability culture and a focus on our daily metrics and customers are fundamental playbook and the objectives we drive in our business will not change. We’ve had tremendous success deploying this playbook and we’ll continue to do so, improving attrition, adding high-quality new customers, improving the overall efficiency of our operation, will remain at the heart of our efforts to drive strong long-term free cash flow generation in our core business. While our operating philosophy is unchanged, a second tenet to acknowledge is to acknowledge that some of the tools we use to achieve these objectives will continue to evolve. In 2019, we plan to increase our use of data and technology to drive further operating improvements. We plan to enhance our brand messaging for security and home automation and we also look to involve – evolve and modernize our sales process by introducing e-commerce and an enhanced role for our technician. The positive outcomes we seek to deliver will be the same, but at times, the approach and more frequently the tools will be more contemporary. The third tenet of our strategy includes expanding our horizons beyond our residential core business, as we diversify further into the commercial market, the DIY market and strengthen our appeal to a broader set of potential customers. This deeper penetration will require some additional investments over the next 12 to 18 months, which Jeff will describe in a few moments. Importantly, we intend to invest, while still balancing our objectives of growing revenue, adjusted EBITDA and free cash flow. Accelerating into these markets will ultimately position us with an even stronger platform on which to build sustained growth as an industry leader. We’re in the midst of a multi-year commercial expansion, which received an exceptional jumpstart in December with the acquisition of Red Hawk, one of the only remaining large independent commercial players. Given Red Hawk’s leading position in commercial, fire, life safety and security services, this transaction significantly boosted our commercial platform in terms of our product portfolio, our geographic reach and our nationwide customer service capabilities. As a result of the addition of Red Hawk, we ended the year with revenues from business customers, representing roughly a quarter of our total revenues. The do-it-yourself market is another low capital intensity favorable opportunity for us. We’re leveraging our well-know brand and reputation to tap into this growing market, and our efforts will be complemented with the acquisition of LifeShield, a pioneer in advanced wireless home security systems. LifeShield will serve as a chassis for ADT to bring a broader array of solutions to a broader cross-section of U.S. households, specifically, the approximately 80% that do not have professionally installed and monitored home security. Lastly, our fourth tenet relates to strategic alliances and new technologies and offerings. We are very enthusiastic about our recently launched ADT Command and Control. It is our newly redesigned Smart Home Security System and serves as our successor to ADT Pulse. ADT Command is a dynamic and innovative wireless panel with extensive smart home capabilities, while ADT Control is the interactive application that allows customers with our new Command panel to protect and automate their homes from anywhere and at any time. We’re rolling out this new panel during 2019. In addition to our confidence to attract new customers by offering Command, it will also serve as a central piece of our upgrade strategy with current customers using legacy systems. Last month, AT&T, our largest wireless provider, notified us and publicly announced that 2022 sunset of their 3G spectrum, which more than half of our customers currently utilize as a means of communication. In tandem with the announcement, a central part of our strategy will be to offset the expected one-time radio replacement cost with the recurring benefits of upgrading a substantial portion of our customer base to our latest technology in security and smart home innovation. Obviously, we’ll update you with our assessment and plans as this process evolves. Our focus on automation through both our expanded relationship with Amazon and our new Command panel and Control app underscores the interactive home as an important theme for us. ADT Pulse puts us at the center of the interactive home. And during the fourth quarter, about three quarters of the new customers opted for our Pulse application, which is an increase from less than two-thirds a year ago. These interactive customers produce higher revenues and carry strong retention rates and the percentage of our total base now using interactive services has reached 40%. Additionally, we continue to strategically explore and develop and execute on adjacencies that expand the definition of security. These potential opportunities, such as mobile, network security and health will leverage our operating strengths, the trusted ADT brand and will require lower capital intensity versus our core business. In summary, we’re pleased with our 2018 performance, the catalyst for a successful 2019, continued improvement in our KPIs, leveraging the next-generation of tools, capital efficient growth, new opportunities and strategic partnerships are all positioned well for ADT. I’m also optimistic that our experienced and talented employee base is poised to compete effectively as our industry continues to evolve. I’ll now turn the call over to Jeff, who’ll walk us through our financial performance and outlook for 2019.
Jeff Likosar: Thanks, Jim, and thanks, everyone, for joining our call today. Our fourth quarter results reflect a strong finish to the year and our balanced approach to growing revenue, adjusted EBITDA and free cash flow. Our overall fourth quarter revenue grew 7% year-over-year, with approximately 2% resulting from the Red Hawk acquisition completed in December. Breaking this down, we saw 3% growth in monitoring and services revenue, driven by higher monthly recurring revenue, or RMR, which benefited from higher average prices and better gross customer revenue attrition. Our installation and other revenue was up 56% during the fourth quarter, driven by expansion of our commercial business, both organically and through recent acquisitions. Adjusted EBITDA grew 3% to $614 million, with the most noteworthy driver being the higher revenue I just mentioned. Drilling down into some of the metrics that drove our fourth quarter performance. Our end-of-period RMR, including Red Hawk, reached $347 million, a 4% increase over the prior year period and our new RMR additions were approximately $13 million, up 2% year-over-year. Our customer revenue payback on a trailing 12-month basis improved to 2.4 years versus 2.5 years in the fourth quarter of 2017. This improvement in payback is the result of continued increases in installation revenues and margins and improved overall efficiency in selling and net installation costs. Our overall net subscriber acquisition cost, or SAC, were up 2% over the prior year. Breaking this down, our net expense SAC was down 8% due to higher installation revenues on outright sales and other efficiencies, while our capitalized SAC was up 4%, primarily on higher year-over-year additions in our dealer channel. Turning to adjusted net income. We generated a 33% year-over-year increase to $101 million for the quarter, driven by EBITDA growth and a reduction in net cash interest paid due to our debt redemptions earlier in the year. Our free cash flow before special items increased to $59 million during the fourth quarter versus $22 million in the year earlier period. In addition to our fourth quarter performance, we are also very pleased with our full-year financial results, which included total revenue of $4.58 billion, up 6%; adjusted EBITDA of $2.45 billion, up 4%; and free cash flow before special items of $538 million, up 33%. For those full-year results, Red Hawk accounted for less than 1 percentage point of our 6% in total revenue growth and was not material to our overall EBITDA and free cash flow. Turning to capital structure. Our net leverage ratio defined as total net debt over trailing 12-month adjusted EBITDA ended the year at 4.0 times, down from 4.7 times at the start of 2018. Fee capital structure activities during the fourth quarter included the issuance of $425 million of first-lien bank debt and the acquisition of Red Hawk for approximately $318 million. Subsequent to the quarter ending, we gave notice early in January of our intent to redeem $300 million of second-lien notes, which we executed on February the 1. Overall, we continue to view our capital structure as a source of strength. I’d like to now move on to our 2019 outlook. As Jim mentioned, 2019 is a year in which we will continue to drive balanced improvements in revenue, adjusted EBITDA and free cash flow growth, while also making some investments that will position us for sustained growth beyond 2019. First, we will invest to establish a leading commercial platform as we integrate Red Hawk and further build out our organic sales engine. Second, we will take the platform we have acquired in LifeShield and position it to grow in the expanding DIY market for 2020 and beyond. For reference, we acquired LifeShield with a negative EBITDA run rate and we plan to make some additional investments as we enter this new segment of the market. In addition, we will make selective brand investments as we continue to solidify ADT’s position as the leader in home automation and security. In terms of our specific guidance for 2019, we expect attrition to continue to improve and full-year revenues to be in a range of $4.9 billion to $5.1 billion, which implies the growth rate of 7% to 11%, inclusive of the full-year benefit of Red Hawk. Our top line growth is otherwise driven largely by increases in installation revenue in our commercial business, along with increases in monitoring and services revenue in our core business. We expect our 2019 EBITDA to be in a range of $2.46 billion to $2.5 billion, and we expect free cash flow before special items to be in a range of $570 million to $610 million. These ranges include continued progress in our underlying core business, which we expect, combined with having Red Hawk in our portfolio for the full-year to generate EBITDA growth in the range of $100 million year-over-year. This growth is partially offset in that our guidance includes approximately $40 million of investments we tend to make in the areas I described earlier and it also reflects some year-over-year headwind in our Canadian operation and the non-recurrence of the approximately $17 million of legal settlements we recorded in the first quarter of last year. As for the first quarter more specifically, we would expect EBITDA to be modestly higher year-over-year, after adjusting for the effect of these settlements. Our full-year free cash flow before special items guidance is driven by the flow-through of the EBITDA I just mentioned, along with cash interest reduction of approximately $20 million, which we expect to result from the net effect of refinancing activities, partially offset by higher interest on a LIBOR-based borrowings. Now, I’d like to mention a few other items, some of which you’ll be able to read more about in our 10-K, as well as other housekeeping items. The first is that, on a GAAP basis, our fourth quarter 2018 loss per share was negative $0.20, which is driven largely by a non-cash impairment charge we took in our Canada reporting unit due to underperformance in 2018. As a reminder, 2017 GAAP EPS benefited from a one-time non-cash credit associated with tax reform, and so the year-over-year comparisons on this measure are challenged. The second is that, we finished the year with more than $3 billion of NOLs, and we anticipate continuing to be a low-cash taxpayer for the intermediate term. Third, I want to remind everyone that 2018’s total stock compensation expense of approximately $135 million included approximately $116 million attributable to the IPO-related B unit conversion and top-up options. The IPO-related runoff will decline in 2019, and we expect full-year total stock comp expense to decline by approximately a third. Now turning to capital allocation. From a capital allocation perspective overall, we will continue to balance organic investments in our business, with opportunistic bolt-on M&A opportunities, our common dividend and delevering over time. I’m excited to draw your attention to three enhancements to our capital allocation framework, which we announced in our press release. The first is that, our Board of Directors approved a dividend reinvestment program, which will allow shareholders to elect to receive their dividend in common shares rather than in cash. Apollo, our largest shareholder, in a sign of confidence, has indicated that they will elect to receive shares rather than cash at this point in time. Secondly, the Board of Directors approved a share buyback program of up to $150 million, also reflecting confidence in our business and our future prospects. The share buyback is sized to be offset by the DRIP in terms of the net effect on the share count. The third point is that, consistent with our strategy, we continue to evaluate our options to reduce interest expense and extend maturities, especially associated with our 9.25% Second-Priority Senior Secured Notes. We intend to seek an amendment to our credit agreement in the near-term to provide flexibility in connection with refinancing alternatives. In conclusion, we are pleased that we achieved or exceeded our financial goals during our first year as a public company and we are looking forward to 2019 in the many opportunities in front of us. Thanks, again, for joining today’s call, and Jim, Don and I will be pleased to take your questions.
Operator: At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of George Tong with Goldman Sachs. Please do with your question.
George Tong: Good afternoon. I’d like to ask about the Amazon partnership. Can you give us an update on how that partnership is ramping, not so much from the technology integration perspective, but more so on the business side? How do you see the Amazon partnership building as a channel for you for your full service monitoring offerings? And what are the implications for SAC and RMR?
Jim DeVries: Great question, George. Thank you, and good evening. I’ve got maybe two or three comments to share with you about Amazon. We have a lot to cover today with limited time and we didn’t cover Amazon in the prepared remarks. And the short answer is that a lot has not changed from our last call on Amazon. We’re working with Amazon to refine the go-to-market strategy. They have been strong partners to us, but the full launch will be made when Amazon and ADT are ready, and we don’t yet have a date for that. We have a very high bar. As you would expect, this is life safety for us. And when our standards are met and fully tested, as well as Amazon’s, they also have a high bar, we’ll be ready to launch, but we’re not quite there yet. We do have a pilot in place, where we are testing and refining the technology and the capabilities and learn every single day. As a result of that process, we’ve got a team of engineers assigned. And as I said, we view this as some upside for us. It’s not built into our guide. And so any upside potential for us would be incremental to 2019 plan and the guide that we provided you.
George Tong: Got it. That’s helpful. For my follow-up, on free cash flows, the midpoint of your free cash flow guidance for 2019 suggests a 11% year-over-year growth, which is the deceleration from growth that you’ve seen over the past two years. Can you talk about one-time items this year that may be weighing on your free cash flow outlook, assumptions around refinancing that may be included in guidance and any conservatism that you may be incorporating?
Jim DeVries: Yes. I’ll answer a couple of high-level comments, and then ask Jeff to weigh in. So I’d say, overall on guidance, we’re feeling very good that we’re targeting another year of improvement on every single market – on every single metric, revenue, cash flow, attrition, EBITDA. And on the free cash flow and the EBITDA, as you pointed out, we’ve got an investment identified at $40 million. And that investment will be allocated to DIY growing that market for us, which we think is a very significant opportunity growing the commercial space and investing in that business and then some brand investment to help with a brand refresh. We’re obviously targeting the high-end of our guidance ranges just like we did in 2018, and the guide for 2019 includes that $40 million of investment for the three areas that I mentioned. Jeff?
Jeff Likosar: Yes. Hey, George, thanks for the question. I’d start just as a reminder as Jim has already mentioned and I mentioned as well is that, our objective is to balance cash generation with growth, with attrition, with revenue payback. The key driver of our cash flow is our EBITDA. So as I described in the prepared remarks, we have about $100 million of, what I called, the core growth. And then the headwinds is Canada underperformance as we talked about, it’s the investments Jim just mentioned. And then you might recall in the first quarter last year, we described some legal settlements in our 10-Q. So if you think about the EBITDA contribution to cash flow, that’s about two-thirds roughly of the cash flow year-on-year. There’s nothing else I’d really call out to your question as unusual in cash flow, the other big driver is interest expense, where we are – we have some pressure from our higher balance on the term loan and higher rates, which we expect will be offset by the recent refinancing activity I mentioned. And aside from that, there’s a handful of puts and takes, including some timing of marginally a little bit more infrastructure CapEx, but nothing else I’d call out everything else, kind of, including SAC, kind of nets to zero.
George Tong: Thank you.
Jeff Likosar: Hey, and I’d add George. So when you look back at our cash flow over the past few years, we’re very excited about the progress we’ve made driving cash flow between 2015 and today.
George Tong: Got it. Thank you.
Operator: Our next question comes from the line of Gary Bisbee with Bank of America. Please proceed with your question.
Gary Bisbee: Hey, guys, good evening. The first question for me, just on the investment on new growth initiatives, how do you think about sort of the payback on those? And how quickly do you think, you – those investments will, particularly in the DIY space improve the trajectory of that business? And in commercial, I guess, just how much of it is incremental because of Red Hawk, so that now positions you to spend more money to really try to drive share, is there another – any other dynamic there? Any incremental color will be helpful?
Jim DeVries: You bet. Thanks, Gary. The – some of the investment is more tangible and some of it a bit less tangible. The marketing spend, as you would expect, is a little more difficult to allocate in ROI, too. The other spend DIY and commercial maybe a little bit easier. To give you a little more color on the commercial side, the investment is principally related to staffing, and the acquisition of talent and ramping up in markets where we have – where we’re optimistic about the market and don’t quite have the scale in terms of talent. And so we’re going to build that talent in the sales cycle is a little bit longer in commercial than it is obviously in high volume. And so that comes in as an investment in 2019. On the investment in DIY, we feel terrific about the platform that we bought in LifeShield. LifeShield right now has a – had a 2018 run rate of negative $10 million in EBITDA. And we expect via investing in that business that, that number will be higher and probably in the neighborhood of about half of that 40 will be allocated to DIY in 2019.
Gary Bisbee: Great. Thanks. And then just one, Jeff, one for you. The free cash flow guidance in your slide deck here, it says, assumes the refinancing of the second-lien debt. Can you just give us some color on what you’re assuming there? You might have said something about interest expense, if you did, I didn’t catch that, so…?
Jeff Likosar: Yes, we’re assuming around $30 million to $35 million benefit from refinancing to offset about $15 million – $10 million to $15 million of pressure from higher LIBOR-based borrowings. And as you also see in the release, we announced this morning that we have a call with our lenders to seek a consent to open up some avenues of flexibility to go pursue those financing activities.
Gary Bisbee: Great. Thanks, guys.
Operator: Our next question comes from the line of Manav Patnaik with Barclays. Please proceed with your question.
Manav Patnaik: Thank you. Good evening, gentlemen. I just wanted to ask firstly around your DIY strategy, specifically, why LifeShield, I mean, I guess, the small company, negative EBITDA. I mean, there are probably some other ones that are probably doing better. So just trying to understand what you’re trying to do with LifeShield? And why it wasn’t and how they established clearly that might have made sense?
Jim DeVries: You bet. Thanks for the question, Manav. I’ll give a little bit of context on DIY and then take a minute or two to talk about LifeShield specifically and then just a little color on our 2019 plans. I’ll start with context for the acquisition. We’re – we continue to be excited about the DIY customer. We’ve said a number of times that we view the DIY customer as discrete from the pro-installed customer and playing more assertively in the 80% of the market who do not have pro-installed security services today is largely the logic around heading into DIY. Not unlike commercial, it provides lower capital intensity growth for us. And we think that there are some scale opportunities within – even our core business that DIY affords us. For example, when looking at DIY through the lens of customer lifetime value, it becomes very attractive opportunity for us. LifeShield itself as part of all of our acquisitions, we very – we’re very much focused on the talents of the team. And the LifeShield team brought us just a terrific executive group of leaders. We like the product platform. It’s about 20,000 customers. Their growth was principally constrained, because the capital constrained as a standalone business, and we think the marriage of our brand with the LifeShield platform is a healthy way for us to attack this market. We don’t have a great deal to share on the go-to-market strategy. We’re taking a smart long-term approach in this B2C business. E-commerce will play a meaningful role, and we are in the process of working through our launch plan, testing into brand decisions. But we feel great about the team and the use of the platform when married to the ADT brand.
Manav Patnaik: Okay, got it. And can you also just help me understand the 3G transition you talked about, like I guess, how – what’s the timing and how that impacts? And I guess, while you’re at it, is there something we should be thinking about what happens when 5G starts coming into the picture?
Jim DeVries: Yes. Let me – I’ll share some perspective on 3G, and then ask Don Young to share some perspective on 5G, and maybe a little bit of color on our new panel. So in terms of 3G, I’ll try to be brief. It’s – essentially, we were notified by AT&T last month, along with other customers that 3G spectrum would be sunset in 2022, so three years from now. We are assessing and we have been assessing the impact, but we’re doing it in the context of a broader customer upgrade strategy. And so we know that we have an opportunity to upgrade our legacy customers. We know that some number of these customers are going to attract. We’re working with our partners on cost offset and working together to develop that upgrade strategy. And so we’re really sort of waist deep in the assessment, but engaging – sort of engaging this process from the perspective of an upgrade strategy for us more than purely 3G. One additional comment that I’ll make on it, Manav, before asking Don to weigh in is, we see this sunset as an opportunity for our company. There’s some level of disruption in the marketplace as a result of it, with all the mom and pops that have 3G customers, even our traditional competitors. And so there is a aspect of the 3G sunset that we’re viewing as opportunistic for ADT. Don?
Don Young: Yes. And Manav, this is Don. Yes, the opportunistic part comes really in two ways. Number one, our new Command and Control solution, which is the successor to Pulse, comes with basically an individual’s ability to swap out the radio themselves without having us roll a truck. Another feature set is remote diagnostics of the panel. We do over-the-air updates to that panel without having to roll a truck. There’s also a two-way encryption of the devices. There’s a lot of features and capabilities that come with that Command and Control solution that we think fits nicely into the upgrade strategy okay under the 3G announcement. Another thing, too, we announced just a few weeks ago, and that’s the FirstNet announcement, we’re – in which we’re going to be able to go ahead and actually swap out the 3G radios over the next three years to a FirstNet radio, which without probably getting too deep, provides us a very unique path using the FirstNet network into our call centers.
Operator: Our next question comes from the line of Kevin McVeigh with Credit Suisse. Please proceed with your question.
Kevin McVeigh: Great, thanks. Hey, just a real quick going back to LifeShield. It’s a mirror in your right, Jeff, there was a $10 million loss in 2018. So does it mean, is it fair to say there’ll be $30 million of loss in 2019 associated with that, if there’s a $10 million investment there?
Jeff Likosar: Yes, Kevin, it’s about $10 million run rate. Most of their loss is associated with subscriber acquisition costs, everything LifeShield does is outright sale. So as we build that business and invest significant portion of that investment would be in marketing, advertising-related subscriber acquisition cost. And we still have to work through exactly how the accounting on that will work. But it’s fair to think of it as incremental investment to drive growth in that business, so a little bit of technology investment as well.
Kevin McVeigh: Got it. And then just, it sounds like just kind of trying to reconcile the EBITDA. The legal was $17 million. Did you say how much the Canada headwind was?
Jeff Likosar: No, we didn’t. But you can think of it in a similar range, not quite the same amount.
Kevin McVeigh: Okay. So all in somewhere around $30 million, $35 million, is that a fair way to think about those two components?
Jeff Likosar: Yes, somewhere in there, and we’re not going to routinely break out detailed line items by line items. But we thought it was worth mentioning, there’s a couple of things just in the context of our overall 2019 guidance.
Kevin McVeigh: Yes, but it seems like it’s about $75 million between those three items. Okay, cool. Thank you.
Operator: Our next question comes from the line of Toni Kaplan with Morgan Stanley. Please proceed with your question.
Toni Kaplan: Thank you. Jim, how are you thinking about the levers that you need to pull to hit your 13% attrition guidance for 2019. Like, what could make you come in above or below guidance? And any thought – updated thoughts on the long-term attrition target?
Jim DeVries: You bet. Thanks for the question, Toni. We’re – I’d say, I’d characterize our – us as pleased with the attrition improvement of 40 bps year-over-year and even the 10 bps sequential, but not satisfied. And as you know, we’ve talked a number of times, the next 100 bps are going to be tougher than the last 300 bps. Our progress, I’d say, won’t always be linear. Q1 2018, for example, we had record retention levels, compared to last year. But we’re confident in our guide. We’re confident in improvement over time. There’s three or four areas that we’ll continue to focus on. I think, on the call last time, I shared some perspective on Canada, and that is a focus area for us. We’re more fully deploying data analytics, which is a focus area for us. I think, I’ve shared before the voice analytics capability that we have and using that tool to be more prescriptive about attacking attrition. And then although much of the low-hanging fruit is gone, all of the low-hanging fruit isn’t gone. And deploying our traditional playbook that you’re familiar with Toni variance performance management, managing save rates, capture rates, et cetera, still have some opportunity. So the takeaway on the attrition is, we’re confident in our guide. We’re shooting for improvement on the higher-end and continue to be optimistic about improving our attrition over time.
Toni Kaplan: Perfect. And then I really appreciate the color on ADT Command and Control. Maybe could you elaborate on how the economics differ from Pulse? Is – are you expecting monthly revenue in margins to be higher SAC, lower, any sort of color there would be helpful? And just really quickly on, I saw the extra disclosure on subscribers on Slide 18, and wanted to know if that would be provided in the future on a quarterly basis or not? Thank you.
Jim DeVries: Yes. I’ll offer a couple of comments on Command and Control, and then ask Don to weigh in. At a high-level, we have a modest pickup in SAC on a unit basis. So it’s better technology, better aesthetics, better experience for the customer, but we will be paying less than what we were paying for our prior panel, and that’s built in – built into the guide. The launch for Command is national at the end of this month. And so we’re eager to pick up the upside of the – of that SAC improvement. In terms of the product itself, Don, do you want to weigh in a little bit?
Don Young: Yes, sure. I appreciate the opportunity, Toni, to expand upon the answer I gave before. We’re obviously excited about this being a successor to Pulse. We’ve rolled this out to 6,000 homes already as part of a phased approach. We will go national, as Jim said, at the end of this month. As I mentioned before, the over-the-air updates, the remote diagnostics, significant enhancement to what we’ve already experienced so far. We have a broader range of sensors with a much larger range. We have a – we’ve written this actually – nothing I’m ready to forecast yet, but some efficient install experiences, as I mentioned, was we’re actually starting to see some improved in lower install times. But again, not ready to forecast the financial impact of that. The most important thing, I think, for our install workforce is, it’s a very easily upgradeable and modular design. So we want to add feature sets okay to the customer, some of them actually user created. Well, it’s very easy and cost effective for us to do it. We’ve gotten great feedback from our customers, great feedback from the field, and we’re really looking forward, like I said, roll out at the end of month.
Toni Kaplan: Perfect, thanks.
Jim DeVries: And Toni, I think, I’ll answer briefly on the units question that you had. Essentially, at a high-level, our strategy the way that we run the business isn’t any different today. We’re focused on RMR over units, but we’re also trying to be responsive to the requests for some more detail. We’ve added enhanced unit disclosure. We shared more information about Red Hawk. There are some information in the materials that provide more color on ending 2018 versus 2017 in terms of business mix. Our objective is to be transparent on this. I’d expect at this stage of the game that we would share that level of detail on an annual basis.
Toni Kaplan: Thank you.
Jeff Likosar: And Toni, this is Jeff. I’d also add that, as we integrate Red Hawk and determine precisely how we’re going to run the business and integrate it with the rest of our commercial customer base, it’s also possible that we’ll either present things differently or adjust some of the measures as the year goes on. And at that point, we would share some additional information.
Toni Kaplan: Make sense. Thanks, again.
Operator: Our next question comes from the line of Peter Christiansen with Citibank. Please proceed with your question.
Peter Christiansen: Thank you for the questions and appreciate the added transparency. Thank you. Just a couple of questions here. Can you walk us through the the motivation for the DRIP buyback plan combination there? Is this really just a way to manage your cash flow or the timing of cash flows over time? I’m just trying to understand that a bit more. And then as we think about radio replacement cost going forward, is that still a special item, or should we now think of that more is embedded into the official free cash flow measure?
Jeff Likosar: Hey, Peter, it’s Jeff. I’ll take a crack at the DRIP first. I start by saying, we’re really happy to add this to our capital structure. It’s a pretty basic DRIP, no discount or anything the Board approved it for two years. It gives all opportunity – or all investors, I’m sorry, the opportunity to receive the dividend stock instead of cash. Apollo, our largest shareholder has indicated their intent to take dividend in shares. So effectively, it’s going to be the same effect if Apollo is buying more shares. They have conveyed very high conviction in the business that we see it as a sign of confidence in us and in our plans. And then we also announced the share buyback, which is sized in such a way that it would offset over time assuming we executed at the authorized level. And it would offset the DRIP, such that the net effect on share count would be not materially changed. So we’re very pleased by the vote of confidence from our largest shareholder. And then your second question, I would tell you, we’re just too early to yet have assessed the manner by which we work our way through radio replacement cost. So we’ll share more as we get through the year, but have not yet determined. It’s a three-year program, so we’re in the early phases of building our plans to execute their bride strategy that Jim described.
Peter Christiansen: Thanks.
Jeff Likosar: And you can read a little bit more in our Form 10-K as well.
Peter Christiansen: Great. Thank you.
Operator: Our next question comes from the line of Jeff Kessler with Imperial Capital. Please proceed with your question.
Jeff Kessler: Thank you. First question is Canada. Before ADT ever merged with Protectron up in Canada, it had been one of the weaker parts – performing parts of the company on the residential side. And since the acquisition, it has gotten a little bit better, but clearly not good enough. And I’m just wondering, I know you’ve spoken a little bit about this before and on other meetings. But is there – besides cultural issues, are there – is there branding or is there a type of marketing issue that may be different than what you see in the United States?
Jim DeVries: Thanks for the question, Jeff. is This is Jim, and I’ll provide a little bit of context to Canada, and then I’ll offer your – offer an answer to your question. The context is, Canada is about 5% of our total revenue. It produces positive free cash flow. As you well know, there’s some unique market dynamics. We’ve run the business historically semi-autonomously separate IT system, separate processes. And over the course of the first three years or so that we’ve been here, it hasn’t been on the top of the priority list for us. And as we continue to make progress in the U.S., we are shifting resources and attention to improving Canada. There’s some unique dynamics in the marketplace having to do with the merger of Protectron that you mentioned, various dealers in that marketplace. But overall, we are confident that the playbook that we’ve deployed in the U.S. will be successful in Canada and now it’s time to turn our attention there. One final comment that I’ll offer on Canada, and I think I may have mentioned this last time. We’ve hired a new leader in Canada. He’s off to a terrific start. He is an industry veteran, has turnaround experience. And we like his ideas for the business. We expect that we’ll see sales and service improvement in 2019, but we do expect a drag on revenue and EBITDA and that was contemplated in the guide.
Jeff Kessler: Okay, great. My second – my follow-up question is about FirstNet. And what you’re doing, both from a marketing point of view and a technology point of view to get the word out as to what it means for ADT relative to the competition? I’m not trying to make this a softball question, but I want to throw this thing out to you, obviously, to Don, to – what – to talk about a little bit about what does ADT need to do to show that it’s a little bit different now that gets in – well, as it’s getting involved with FirstNet and AT&T, but also getting involved in some verification technologies that maybe some other companies have not yet sought to invest in, waiting for you guys to basically show it to them, whether it works or not?
Don Young: Hey, Jeff, this is Don. I appreciate the question for sure. I think, it’s probably important or maybe worth pointing out what FirstNet is Jeff. I think, you and I are intimately familiar with it, but maybe others aren’t. Very quickly during Hurricane Katrina, all the congestion that was created in the cellular networks is what prevented the first responders from being contacted or contacting each other fast forward. And then the FirstNet agency was created within the federal government. Eventually, that agency partnered with AT&T to build this network. The easiest way to explain the purpose of the network is to provide that separate lane on the highway, of which only a certain people can travel. It happens to be public safety and now ADT as a result of the last 12 months, where we’ve worked really hard with AT&T to get this approval. To your point, Jeff, trying to market and advertise it, that literally has just begun, because we literally just signed the contract to commit to this with AT&T. An easy thing that we’re really looking forward to is at the moment that we’re talking to customer about their 3G radio upgrade to bring this value to them, to explain to them what the value of that lane on the highway will bring in terms of responsiveness. So – but yes, we still have plenty more to discuss, plenty more to figure out on how we’re going to incorporate that in our branding, in our brochure material, all of those things. So stay tuned, and we’ll be breaking out that kind of process soon.
Jeff Kessler: Okay. Thank you very much.
Operator: Our next question comes from the line of Seth Weber with RBC Capital Markets. Please proceed with your question.
Seth Weber: Hey, good evening, guys. I wanted to ask about Red Hawk. The – on the slide, you talked about some opportunities starting 2020, synergies, revenue and cost synergies. Is there anyway that you can help us sort of think about what your expectations are there relative to the, I guess, the, call it, the $300 million run rate? How we should be thinking about, maybe some cost synergies there in 2020?
Jim DeVries: Thanks for the question, Seth. Good evening. Let me give you a little bit of color on Red Hawk and provide some additional details. So we paid $370 million for Red Hawk. 2018 run rate was about $300 million of revenue, give or take about $30 million in EBITDA. We saw big strategic benefits here, fire products, scale and geographic reach, as I mentioned, with DIY and LifeShield, really talented strong leadership team. It’s an attractive profile for us, low attrition. It’s low capital intensity. EBITDA margins are a little bit lower, but returned to actually have a higher IRR. And so we are going to approach 2019 as an integration year. The overriding operating objective is going to be no customer disruption. There’s a moderate amount of investment in the IT platform. We’ll begin to execute on the synergies in late 2019, but the realization of those synergies will primarily be in 2020 and beyond.
Seth Weber: Right. And just – is there a framework how – having done deals in the past? Is there sort of a – just a framework, a playbook on X percentage of synergies should be expected, or anything that we can kind of work with for 2020? Maybe it’s just too soon to say.
Jeff Likosar: Seth, it’s Jeff. Nothing I would share in the way of specific guidance for 2020. We’re excited about the trajectory of our commercial portfolio, lots of opportunities there. But we’re not going to share any specific 2020 guidance just yet.
Seth Weber: Okay. And then maybe if I could, as a follow-up, just ask – you mentioned a couple of times, I think, in the release about improvement in pricing. Maybe just give us some color on the pricing environment? And whether you’ve made any progress on the resi side getting more upfront pricing from customers? Thanks.
Jim DeVries: Yes. We have made some progress in pricing, a lot of it driven by mix. So when we talk about changes in average pricing, a lot of it is a transition of the subscriber base from more traditional to interactive Pulse, and we have what will soon to be Command and Control. So typically, those customers come on at a higher revenue per unit, so there’s a mix component to it. We also have a bit of escalation in our base. And then there’s changes that we are contemplating and piloting that seek to get more revenue at time of install. We’ve had some success in that during 2018 and think there’s more opportunity to collect more of the time of install in the future.
Seth Weber: Okay, super. Thank you, guys. I appreciate it.
Jim DeVries: Thanks, Seth.
Operator: Our final question comes from the line of Ashish Sabadra with Deutsche Bank. Please proceed with your question.
Ashish Sabadra: Thanks for taking my question. So maybe just to follow up on the $40 million investment in 2019. How should we think about those investments going forward? Are these like one-time investment as you’ve acquired the DIY and Red Hawk, or are these going to be recurring going forward as well? Any color on that front?
Jim DeVries: I’ll offer a couple of comments, Ashish. Thanks for the question. And on DIY, the short answer is that, it’s really opportunistic. There are some investments in the business associated with the IT infrastructure. We think that there are some early investments in branding as part of our launch, but how much of it is recurring is very much in proportion to how successful we are in growing the DIY space. On commercial investment, I would view that as more or less one-time, and I tend to view the marketing more in the category of one-time. But DIY, which I mentioned earlier, represents probably half or more of the $40 million. That one is largely dependent on customer acquisition and the volume that we have in DIY.
Ashish Sabadra: And that’s helpful. And then maybe just a follow-up question on DIY would be, is there opportunity for cost synergies in the back-end going forward once you get scale in that business, where you could leverage the existing infrastructure, the monitoring infrastructure that ADT has and other opportunities for further cost synergies there?
Jim DeVries: Very minimal, Ashish. We were very modestly in the DIY space at ADT. LifeShield is a relatively small organization. And the play here for us is to grow that business and attack the DIY market, as we mentioned earlier, that the 80% of market that doesn’t have professional monitor, professional installed equipment. And so the play for us is really focused on the growth side more than the cost takeout.
Ashish Sabadra: Thanks. That’s very helpful. Thank you.
Jim DeVries: Thank you, Ashish.
Operator: We have reached the end of our question-and-answer session. And I would like to turn the call back over to management for closing remarks.
Jim DeVries: Oh, all right. Thank you, operator. I want to thank everyone for joining us on the call today. I’d like to conclude by expressing my appreciation to our many ADT colleagues and our dealer partners for all their efforts each and every day that made 2018 such a successful year. We’re looking forward to an extraordinary 2019, and thanks again for joining us. We look forward to updating you throughout the year. Have a good evening.
Operator: This concludes today’s teleconference. You may now disconnect your lines at this time. Thank you for your participation, and have a wonderful day.